Operator: Good afternoon, and welcome to the CVD Equipment Corporation Third Quarter 2025 Earnings Conference Call. As a reminder, today's call is being recorded. We will begin with prepared remarks followed by a question and answer session. Presenting on today's call are Emmanuel N. Lakios, President and Chief Executive Officer, and Richard A. Catalano, Executive Vice President and Chief Financial Officer. Our earnings press release and call replay information are available in the Relations section of our website at www.cvdequipment.com. Before we begin, please note that comments made during this call may include forward-looking statements, including those related to our future financial performance, market growth, demand for our products, and overall business outlook. These statements are based on current expectations and are subject to risks and uncertainties that could cause actual results to differ materially. For a detailed discussion of these risks, please refer to our filings with the SEC, including the risk factors section of our Form 10-K for the year ended 12/31/2024. We assume no obligation to update any forward-looking statements except as required by law. With that, I'll now turn the call over to Emmanuel Lakios, President and CEO.
Emmanuel N. Lakios: Thank you, Paul. And good afternoon, everyone. We appreciate you joining us today to review our third quarter 2025 financial results and provide an update on our business and strategic initiatives. After our prepared remarks, we look forward to taking your questions. For the third quarter 2025, revenue was $7.4 million, a 9.6% decrease from the prior year quarter, but a 44.9% increase compared to the second quarter of this year. Revenue to date was $20.8 million, which was 7.1% higher than the same period in 2024. Orders for the third quarter totaled $2.2 million, primarily driven by continued demand in our SDC segment for gas delivery systems. For the nine months of 2025, total orders were $9.5 million compared to $21 million in the same period last year. As of 09/30/2025, backlog stood at $8 million compared to $13.2 million at 06/30/2025, as we converted backlog to revenue in the quarter. Our third quarter and year-to-date bookings were influenced by several external factors, including uncertainties related to tariffs, reduced US government funding for university research, US government shutdowns, and timing in the product adoption within our growth markets. In response to the ongoing fluctuations in our order rate and the recent decline in bookings within the CVD Equipment division, our board of directors has approved a comprehensive transformation strategy aimed at significantly reducing fixed operating costs and creating a more agile organization. Key elements of this plan include transitioning the CVD Equipment business from vertically integrated fabrication to outsourced fabrication of certain components, enabling us to reduce our fixed costs and improve scalability. A workforce reduction in the CVD Equipment division, to be completed by year-end 2025, is expected to reduce the annual operating cost by approximately $2 million beginning in 2026. To note, the SDC division will not be impacted by these actions. Revising our sales approach by leveraging distributors and external representatives to complement our internal sales force and broadening our market reach. Exploring strategic alternatives for certain businesses and product lines, which could include asset sales and divestitures. Together, these initiatives will allow us to focus on our core strengths, which are engineering design, assembly, test installation, and customer service, all while driving greater efficiency and long-term profitability. We remain encouraged by the opportunities ahead in our target markets, aerospace and defense, industrial applications, which include silicon carbide and graphite, silicon carbide high power electronics, and electric vehicle battery materials. As an update on opportunities in the silicon carbide bull market, in October 2025, we announced a new order from Stony Brook University for two PVT-150 physical vapor transport systems to support their center established by Onsemi Silicon Carbide Crystal Growth Center. We are proud to play a role in advancing semiconductor materials research and supporting critical technologies in artificial intelligence and electric vehicles. We are continuing the development of our 200-millimeter silicon carbide crystal growth process using our PBT-200 system, targeted at the high power electronics market. The same platform is being evaluated for other wide bandgap materials such as aluminum nitride. Our reactive design and control architecture deliver the precision and repeatability needed for next-generation material production. CVD remains well-positioned across multiple growth markets. We believe that our transformation initiatives will strengthen our foundation and will better support our goal of achieving profitability and positive cash flow. With that, I'll now turn over the call to our CFO, Richard Catalano, to review our financial results in more detail.
Richard A. Catalano: Thank you, Manny, and good afternoon, everyone. Third quarter 2025 revenue was $7.4 million compared to $8.2 million in 2024. The quarter-over-quarter decrease was primarily due to the absence of revenue from our MesoScribe segment, which ceased operation in 2024. Revenue from our CVD Equipment segment was driven by three key customers, representing approximately 55% of total revenue for the quarter. A contract modification during the third quarter allowed us to recognize revenue in Q3, contributing approximately $1 million. This was a change only in the timing of the revenue record. Our SDC segment reported $1.7 million in revenue, down slightly from $1.9 million in Q3 2024 due to fewer contracts in progress, but they continue to have a strong backlog. The company gross profit for the quarter was $2.4 million with a gross margin of 32.7%, compared to $1.8 million or 21.5% in the prior year quarter. This improvement was primarily due to a more profitable contract mix in our CVD Equipment segment, offset by the loss of MesoScribe's contribution, and we also had a $100,000 charge for a one-time certification cost within the SDC segment. Operating income was $308,000 as compared to operating income of $77,000 in Q3 2024. After other income, primarily interest, net income was $384,000 or 6¢ per diluted share, versus $203,000 or 3¢ per diluted share in the prior year quarter. As for our balance sheet, at 09/30/2025, we held $8.4 million in cash and cash equivalents as compared to $12.6 million at 12/31/2024. Net cash used in operating activities for the first nine months of 2025 was $4.1 million, largely due to changes in working capital as well as contract timing. Our working capital improved to $14.6 million as compared to $13.8 million at year-end 2024. As part of our transformation plan discussed earlier, we do expect to incur approximately $100,000 in severance-related charges in 2025. In addition, we may recognize non-cash impairment charges in future periods if certain long-lived assets are sold below their book value. Looking ahead, our return to consistent profitability depends on new equipment orders, cost management, successful implementation of our transformation plan, and continued control over capital expenditures. Although order timing can cause quarterly fluctuations, we believe our current cash position and projected operating cash flows will be sufficient to meet working capital and capital expenditure needs for at least the next twelve months. With that, I'll turn the call back to Manny.
Emmanuel N. Lakios: Thank you, Rich. Our focus remains clear: serving our customers, supporting our employees, creating value for our shareholders, and achieving a return to sustained profitability. Our goal continues to be enabling tomorrow's technology today. Operator, we're now ready to open the line for questions.
Operator: Thank you. We'll now be conducting a question and answer session. One moment please while we poll for questions. Thank you. Our first question is from Paul Chaeka with MSE Resources. Good afternoon, everybody.
Paul Chaeka: I'm a long-time buy and hold fan of CVV. Also, I'm a materials engineer that's done a lot of work mainly in CVD coatings for engine high-temperature engines and semiconductor applications. So I've got a lot of hope for the company in those markets, especially. My question's about applications for composite applications for combustion turbines for power generations, meaning stationary turbine engines. For example, GE Vernova is showing a growing backlog for stationary combustion engines. I was wondering if you can speak to orders or applications of the CVV systems for stationary combustion engines. Also, second question about just a little bit of insight on the general locations of the materials outsourcing you'll be doing? Is it quite regional? Is it across the country or abroad? Thank you.
Emmanuel N. Lakios: Paul, thank you for being a loyal shareholder. Let me address your two questions. First, the question on the ground-based gas turbine engines. As you're likely aware, many of the listeners are as well, the primary use of ceramic matrix composites is in the hot section of the engine. There are several engines out there that already are utilizing silicon carbide-based composite materials for shrouds and for nozzles. Those, to my knowledge, have not yet been brought into the ground station gas turbine engines, and they don't burn in the hot section turbine. Where we anticipate use in the future for silicon carbide-based composite materials CMCs in the energy field would be more so in replacement of some specific materials for nuclear reactors and for pellet encapsulation. Those are future emerging opportunities.
Paul Chaeka: Oh, excellent. Had not thought of those. Thank you.
Emmanuel N. Lakios: On your second question, which is more on the supplier base, CVD has historically had a mix of both external and in-house components. We've had a focus on our sheet metal shop and also on the smaller machine components, both turned and milled machined elements. The larger chambers have typically been outsourced. So we've always had a mix of suppliers. Over the last several years, we have combed through those suppliers and we've evaluated our cost structure closely over the last twelve months to a little over a year. And we've determined that the vertical integrated model has really become less efficient, given both our order volumes and also from the sheer fact that when you're vertically integrated, it is very difficult to be best of breed in sheet metal cutting, bending, welding, painting, and those are things that our merchant suppliers do. I would say, as well and in some cases better than we do and are more cost-effective. So the outsourcing was inevitable, and this is the right time to implement that strategy. Now to answer your question, is it regional? It's in the US. Our focus is to outsource our machining to the US. We will extend to North America, specifically Canada in some cases.
Paul Chaeka: Okay. That's really great detail. Thank you. Just aside on that, the vertical integration, I think, was hugely valuable to the company fifteen, twenty years ago. I think it allowed you to really refine the quality and the control that you had over your systems. But I totally understand the change in the dynamics of the economies and economies of scale. I assume that your quartz, will that remain interior?
Emmanuel N. Lakios: It will be a mix, but we will retain our IP and Black Card in the area of quartz fabrication. We'll also retain certain elements of capability in our machine shop, but the lion's share of the components will be outsourced.
Paul Chaeka: I see. Alright. Thank you. Well done, everybody.
Emmanuel N. Lakios: Thank you.
Operator: There are no further questions at this time. I'd like to hand the floor back over to Emmanuel Lakios for any closing comments.
Emmanuel N. Lakios: Thank you, operator, and thanks to everyone for joining us today. We appreciate your continued support and confidence in CVD Equipment Corporation. If you have any additional questions, please feel free to reach out to me directly. This concludes today's call. Thank you.
Operator: We thank you again for your participation. You may now disconnect your lines.